Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fourth Quarter 2020 Kite Realty Group Trust Earnings Conference Call. At this time, all participant lines are in listen-only mode. [Operator Instructions] After the presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your host today, Mr. Bryan McCarthy, Senior Vice President, Marketing and Communications. Please go ahead
Bryan McCarthy: Thank you, and good afternoon, everyone. Welcome to Kite Realty Group’s fourth quarter earnings call. Some of today’s comments contain forward-looking statements that are based on assumptions of future events, and are subject to inherent risks and uncertainties. Actual results may differ materially from these statements. For more information about the factors that can adversely affect the company’s results, please see our SEC filings, including our most recent 10-K. Today’s remarks also include certain non-GAAP financial measures. Please refer to yesterday’s earnings press release available on our website for reconciliation of these non-GAAP performance measures to our GAAP financial results. On the call with me today from Kite Realty Group, our Chairman and Chief Executive Officer, John Kite; President and Chief Operating Officer, Tom McGowan; Executive Vice President and Chief Financial Officer, Heath Fear; Senior Vice President and Chief Accounting Officer, Dave Buell; and Senior Vice President, Capital Markets and Investor Relations, Jason Colton. I will now turn the call over to John.
John Kite: Thanks, Bryan, and good morning, everyone, and thanks for joining us today. Well, we appreciate that this continues to be a challenging time for all of us, including our investors, tenants, customers, vendors and employees, but we obviously hope this call finds you doing very well. Last quarter, we discussed how we seem to be closer to the end of the pandemic than the beginning. As we passed the one-year mark of the first reported case in the U.S., we’re more confident in that statement today. Currently, new cases are falling, while the vaccination rate is growing quickly. There’s a sense of hope in the country that we didn’t have nine, six, or even a few months ago. The sense of hope makes us believe that we’re on the cusp of the country returning to a more normal life. We continue to have very strong industry leading collections. Fourth quarter collections are 95% of gross rent. As we discussed last quarter, this is a testament to our properties, our people and our processes. Even our third quarter collections continue to clip higher and now sit at 93% of gross rent billed. While we will never stop pursuing the old rent, we believe the stabilization and rent collection quarter-over-quarter shows the worst is behind us. With that perspective, let’s discuss our strategy going forward in a more normal environment. The first part of our strategy is to continue to focus on warmer and cheaper parts of the country. The pandemic accelerated a migration to these cities and states that had already been underway. Technology improved the ability to more effectively work from home. Companies then realized they didn’t need to be in major expensive hubs to attract talent. This accelerated large company moves to cities, such as Dallas, Orlando and Nashville, to name a few. The growth will be dramatic and KRG will continue to position itself to benefit from that growth. This migration is far from over, and the advantage it presents is becoming more evident. The shift in warmer and cheaper locales is a key reason we purchased Eastgate Crossing in Chapel Hill, North Carolina. It’s a premier asset anchored by Trader Joe’s located in a KRG target market. Please note that we executed a non-disclosure agreement on the transaction. Therefore, we’ll be unable to discuss details. What I can say is the transaction was a win-win for both sides, and we are very happy to be the new owners with plans to quickly increase the property’s value. The second part of our go-forward strategy is leasing and filling the vacancy caused by the pandemic. We are already well underway and the momentum of last quarter has continued. KRG executed 60 leases for over 500,000 square feet in the fourth quarter. Additionally, we are in the process of addressing over 80% of the 5.9% of ABR from bankrupt tenants. As a reminder, this is up from 65% last quarter, despite additional bankruptcies in the fourth quarter, raising the impacted ABR from 5.4% to 5.9%. We currently have 19 vacant anchor spaces. And during our Big Box Surge a few years ago, KRG successfully back-filled 22 vacant anchors at accretive returns. We’re hopeful to do the same with these vacancies. Our new project, Anchor Acceleration, is already well underway and we’ve laid out the potential economics on Page 19 of our investor presentation. You’ll see that assuming the current ABR for our in-place anchors, there’s a potential mark-to-market of nearly 30%. To provide a specific example, we had seven Stein Mart locations become vacant this quarter. And over half of our year-over-year 490 basis point lease rate decline is from Stein Mart, whose average ABR at those locations was only $8.16. If we had to pick an anchor to lose, this was definitely the one. This temporary dislocation provides a great opportunity to backfill with a tenant who will not only pay market rent, but will drive significantly more customer traffic. As we examine new lease opportunities, please keep in mind that we’re very cognizant of total return. We’re not going to spend unnecessary capital simply to inflate our lease spreads. We are going to do what makes the most financial sense for the company and our shareholders. Sometimes this means a negative spread deal in exchange for limited or zero tenant allowance. The situation occurred this quarter; we had two fitness anchor tenants that declared bankruptcy in 2020. We executed deals to backfill those two spaces with minimal tenant allowances, resulting in negative spreads, but a significant return on costs. Excluding these two leases of over 100,000 square feet, our blended lease spreads would have been 13.4% on a GAAP basis and 6.8% on a cash basis. Moving to shop vacancy, we have approximately 182,000 square feet of shop space to lease in order to get back to our industry leading shop leased rate of 92.5% from the end of 2019. Since we’ve been there before, we are confident in our ability to once again reach these levels. As with the anchors, we’ve laid out the potential economics in our investor presentation. The final point part of our go-forward plan is to maintain a strong balance sheet in order to take advantage of new opportunities. One opportunity was the purchase of Eastgate. Another opportunity has been the redevelopment of the Macy’s store at Glendale Town Center that began this quarter. In addition to the multi-family development we announced last quarter at Glendale, we are bringing Ross Dress for Less, Five Below and Old Navy into the shopping center to replace part of the Macy’s box. The highlight of the project is that due to a partnership with the city of Indianapolis in the form of a TIF bond, the net cost to us is only $3.9 million, resulting in a very compelling yield. This is another example of the KRG team adding value at great risk-adjusted returns. We’ll continue to take advantage of the opportunities that present themselves while always maintaining the strength of our balance sheet and our liquidity profile. Before I turn it over to Heath, I want to again thank the entire KRG team. I really cannot express enough of my gratitude to the men and women of our team. The strength of our operations is just not possible without them. And we all look forward to shifting from surviving the pandemic to thriving in the future. I’ll now turn the call to Heath to discuss the balance sheet and 2021 guidance.
Heath Fear: Thank you, John and good morning everyone. As we kick off 2021, our posture of cautious optimism has developed into one of prudent opportunism. As we speak, COVID positivity rates are rapidly declining, the vaccine rollout is accelerating and children are returning to the classroom. While we’re not under the woods, the clearing is insight. When the pandemic first hit, we collectively made a promise to conduct ourselves in a way that would make us proud when looking back. Suffice to say, I’m proud of how well our people, properties and processes handled and continue to handle the pandemic. Our current focus is on the path forward, filling the COVID-related vacancies and leveraging our strong balance sheet and operating prowess to prudently unearth future opportunities. But before delving into the future, let’s take a minute to discuss our fourth quarter results. We generated $0.29 of NAREIT FFO in the fourth quarter. Excluding the one-time impact of severance charges related to some management changes, FFO as adjusted is $0.33 per share. This includes $3.4 million of bad debt, $2.6 million of which is related to fourth quarter billings. As we did in last quarter, we’ve disclosed the bad debt breakdown on Page 18 of our supplemental. On that same page, you will see that our billings dropped 1.3% as compared to the third quarter primarily related to Stein Mart. Our balance sheet and liquidity profile remained strong in the fourth quarter. Our net debt-to-EBITDA pro forma for the Eastgate transaction was 6.8 times, down from 6.9 times last quarter. Just as important, our liquidity position remains strong, no debt maturing until 2022, only $12 million of outstanding capital commitments and ample liquidity of over $560 million to address the current vacancies. John discussed the potential mark-to-market for the vacant boxes. I’d like to add some color on the potential capital outlay with re-leasing not only the anchor spaces, but also the shops. As broken out on Page 19 of our investor presentation, we conservatively estimated that our re-leasing efforts will cost $100 per square foot for anchors and $55 per square foot for in-line tenants, making the total required capital around $67 million. As a reminder, we completed the Big Box Surge spending approximately $64 per square foot and our average cost per small shop leases in 2020 was $51 per square foot. In all cases, our potential re-leasing costs are well inside our current availability even before taking into account cash flow from operations net of dividend payments. Turning to our guidance for 2021, we are projecting FFO as adjusted to be between $1.24 and $1.34 per share. We are guiding to FFO as adjusted for one key reason, to reduce the noise from 2020 and provide a clean 2021 FFO run rate. Accordingly our guidance excludes any impact from 2020 accounts receivable or 2020 related bad debt. By way of example, to the extent we are unable to collect any of the 2020 accounts receivable, it will become a bad debt expense in 2021, but it will be excluded from our FFO as adjusted. The same holds true in reverse. If we’re able to collect on some of the 2020 bad debt, which we continue to aggressively pursue, we will recognize that as revenue, but it will also be excluded from our FFO as adjusted. In both scenarios these potential changes in earnings are one-time items and would skew the 2021 FFO run rate. We will of course highlight the impact of these items throughout the year and we will continue to report NAREIT FFO. The midpoint of our guidance assumes approximately $8.2 million of bad debt. The bad debt number is in addition to incremental vacancy included in our forecast for tenants that have or may stop operating. The $8.2 million was primarily sized based on the annualized amount of bad debt associated with the fourth quarter billings, less the budgeted vacancies. Basically the midpoint of our guidance assumes that the 4% of revenues that we didn’t collect in the fourth quarter is not collected in 2021, either by way of additional vacancy or uncollected rents. Another slide we added to the investor presentation we think will be of interest is Slide 15. This slide expands on our detailed disclosure on Page 18 of the supplemental to incorporate how our 2021 guidance compares to 2020. The supplemental shows that fourth quarter recurring revenues have decreased approximately 7% as compared to the first quarter. This new slide shows that 2021 guidance is only 3% below the first quarter of 2020 annualized. Said another way, this shows that we believe the recovery is already under way. Finally, this guidance assumes we will sell an additional asset or assets to match fund the Eastgate acquisition. This is consistent with our message about match funding any acquisitions in order to keep leverage in check. While we are positive about what the future holds, we will always ensure not to take any step that will undo the progress we’ve made to date. We have a strong balance sheet, a best-in-class leasing and operating platform, a portfolio of assets that has consistently outperformed the peer group over the course of 2020, a winning strategy that continues to pay dividends and most important, a deep desire to meet and then exceed our pre-COVID levels across every single metric. Thank you to everyone for joining the call today. Operator, this concludes our prepared remarks. Please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Floris Van Dijkum with Compass Point.
Floris Van Dijkum: Thanks. Good morning guys. Thanks for taking my question.
Heath Fear: Good morning.
John Kite: Good morning, Floris.
Floris Van Dijkum: Good morning. I – before I get on my – nice disclosure, particularly Pages 15 and 19 of the deck you guys put out. I think that’s – hopefully that’ll – some of your peers might follow suit and provide that kind of clear information. Can I ask you guys a little bit about, you talk about match funding on your Eastgate acquisition. What additional non-core do you have? Or should we think about your ground rent income, for example, your $16 million of ground lease income that you could presumably sell at very compelling cap rates, which actually could boost your earnings as opposed to selling another non-core assets. Can you walk through your thought process on that and give a little bit of insight?
John Kite: Sure. I mean, look, I think all the above in terms of things that you mentioned are potentials for us. And we’ve talked about it in the past, Floris, with you and others, just in terms of on both fronts. We still have some assets that are attractive assets that are potentially in markets that we don’t view as where we want to be long-term. And then we also have and we pointed out, in fact, if you look on the last page of our sup, we kind of breakout our – the components of NAV and then leave it to you for cap rates, but obviously we have a significant amount of ground lease NOI as well. So bottom-line, I’d stay tuned. I mean, we’re actively working on what we talked about relative to the match funding. So we look forward to telling you what it is, when we get it done, but we just don’t – we’re not, as you know, we’re not the kind of people that talk about stuff before it’s done. That said, we’re very confident that we will be doing that soon. And that when we do that this can be a very accretive transaction for us from the match funding as the property that we acquired, as you know, was 73% leased. So a lot of upside, and we’re already actively engaged in creating value with that upside.
Floris Van Dijkum: John, maybe I can follow up on that. Obviously, you talked or I think it was Heath who laid out some of the upsides, or maybe it was you, I can’t remember now. On the Stein Mart, how advanced our discussions on that space? And how confident are you guys that you’re going to make good progress this year on that space? Obviously, you’re very forthright in terms of the upside potential in terms of rent spreads and returns on invested capital. How about the timing of that?
John Kite: I’ll give you just a macro and then I’d like Tom to address it a little more in detail. But bottom-line is as I’ve said, it was me talking about Stein Mart, and I guess I’m a little hurt that you don’t know my voice by now, Floris, but I can get over it. I can get over it. We’ll cover it in the spring on number seven. But honestly, look, and I mean it, I mean it, it was absolutely – if you’re going to have a tenant, make – have that big of an impact on your leased percentage, right, that I know a lot of people look at, the reality is we were psyched, okay? I mean, this is the tenant to lose. We’ve talked about it over the years. They’re paying $8 a foot. Look, I don’t talk about it flippantly that unfortunately that this business went out of business because there were a lot of great people there. But what I do say is for a long time, we were in the position where we knew that this just wasn’t a tenant that was going to survive, but based on lease contracts, we can’t just say, hey, it’s time for you to leave. So what I think is that people should focus on here.And the reason we laid it out in the investor presentation is two things; one we’re really good at this. We just did it a couple of years ago. We like it. This is what we do. We’ve always been – the leasing efforts are the tip of the spear. I’ve said it many times. And two, yes, we have a lot of deals active on it. And I’m going to turn that to Tom.
Tom McGowan: Yes. If you look at Stein Mart, we’ll say we had seven active spaces. We’re very confident that we’re moving through at least half of those. But the real benefit to the company, the real benefit to the shopping centers is you have a company that let’s say was doing $5 million of revenue out of the store, very unproductive. Then a scenario would be, if you could replace that with someone like Total Wine that is doing, or could do $25 million out of that same store. So you’re generating a heck of a lot more tires into your centers. You’re creating visibility. So we’re excited, not in terms of just our ability to get these leased, but to generate a better experience for our customers with better tenants, better rents, better spreads, et cetera.
John Kite: And bottom-line, we’re going to get them all leased. So it didn’t – it’s just a matter of time. I think what Tom’s referring to is what we’re – we have these active deals right now on half of them, but we’ll get them all leased, Floris.
Heath Fear: Yes. I’ll just add one. When I first came to Kite, I asked Tom McGowan, how do we get rid of these Stein Mart guys? And Tom said they just keep renewing. So it was like John said, we’re pretty happy that they’re – if you had to pick an anchor, this is the one. One thing also important to point out, we didn’t mention this in our prepared comments though. Look what happened to our ABR. We were $18 last quarter. We’re at $18.42, that’s nearly a $0.50 pickup in ABR quarter-over-quarter. And a lot of that is because we’ve gotten rid of this $8 tenant. So, a little bit of addition by subtraction.
Floris Van Dijkum: Okay. Thanks. One last question, I guess for me, maybe, Heath, if you could put the $8 of bad debt reserve for this year into context and compare to not last year, obviously, because it was such a screw year, but compared to 2019, what you guys had. And just put it in context.
Heath Fear: Yes. So it’s $8.2 million, Floris. And typically, we have about $3 million on a normal year of a bad debt reserve. The way we size it, I said that in my comments was, we really took the intra fourth quarter bad debt number. We annualized it. We took account for those tenants that had bad debt, but were then being modeled as vacant. And then we looked at a couple of other tenant categories that we were still a little concerned on in the end and added a little bit of a buffer on top of that. So that’s where the $8.2 billion came from. So again, it’s not quite three times, but almost three times as much as the bad debt in a normal year.
John Kite: I mean, said in other ways, its $0.06 a share of – impact above a normal year. So it’s significant.
Floris Van Dijkum: Great. Thanks, guys. That’s it for me.
John Kite: Thank you.
Operator: Our next question comes from Katy McConnell with Citi.
Katy McConnell: Hi. Great. Thanks. So wondering if you could update us on how January rent collections are trending so far? And your outlook for the rest of 1Q, based on any new restrictions that you’re aware of impacting the portfolio today?
Heath Fear: Yes. The collections in January are on track with our fourth quarter collections. What was the second question, Katy?
Katy McConnell: I was just asking about your outlook for the rest of 1Q, and whether you have any restrictions impacting certain assets or markets that you’re aware of that?
John Kite: No, no.If we haven’t proved that we’re good at collecting rent, I mean, I don’t know. I mean, so we’ll continue to collect rent. We’re good at it. Our tenants were fortunate that we have a great relationship with our retailers and we’re in the markets that we’re in and that have, as I said on the last call, I mean, there’s a clear correlation between the markets that we’re in and business being open. So I don’t foresee any downturn. We’ll see how this thing goes. We’re not – clearly, we’re not all the way out of the woods. We’ve been conservative in our projections, but it feels at this point that we will continue on that path.
Katy McConnell: All right. It makes sense. And then just regarding the Eastgate acquisition, can you talk about the extent to which you had been working at other marketed opportunities? And just give some color on what the transaction environment for strips looks like today. And also what your plans are for adjusting the vacancy or adding value to that property going forward?
John Kite: Sure. Yes, look, this was a unique situation where this came along at the right time. And so we were very, very happy to have been able to get that done. Look, at this point in the cycle, these are few and far between right now. There’s a limited amount of buyers who can actually move quickly and close all cash. That was obviously one of the reasons this was able to happen. But it’s still – it’s not opened up like it was before, Katy. It’s going to take a little more time probably due to bid-ask spreads, but I think it’s firming up. And I think as people, it sounds corny, but as we get into the spring, it’s just going to feel better for people and I think then you’ll probably start to see more activity. But, look, I mean, the thing about it is there’s very low supply out there. So, people generally don’t want to – they want to hold assets unless it’s a strategic change for someone. So that created this opportunity.
Katy McConnell: All right. Great. Thank you.
John Kite: Thank you.
Operator: Our next question comes from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Hi, thanks. Good morning. John, you talked about warmer and cheaper markets and that’s been the company’s strategy in general. But you’ve also taken some opportunities to move into the New York MSA, for example, a few assets in New York, Connecticut, New Jersey. Is there any interest in taking advantage of what may be better pricing in those markets? And if not, are those assets sale candidates?
John Kite: Yes. Good question, Todd. Look, I mean, I think one of the things we do talk about the strategy warmer, cheaper and I think what we’ve tried to always say is, look, that’s where the majority of our rent is going to come from. I mean, as an example, Florida, Texas, North Carolina, those three states alone are over 50% of our revenue. That said there’s always going to be opportunities in markets that maybe don’t fit that technical profile. So we will look at them and we will study them and good real estate is good real estate, but it isn’t going to be our primary focus. Our primary focus is going to continue to be investing the majority of our capital in what we call those warmer, cheaper markets. But to the second part of that question, sure, I mean, there’s possibilities that we could recycle assets in the Northeast as your specific question. But we’re not going to do it at below the value of the asset, right? So I think we need the world to firm up a little more particularly. It would be nice if those markets opened in a major way. And I think that they’re beginning to see that they need to, and that there’s no real data to support being closed. So I think as that evolves, Todd, we’ll take a closer look at that.
Todd Thomas: Okay. Got it. And then on the asset sale that you’re contemplating, how far down the road are you on match funding Eastgate? And then sort of following up on, I guess, Floris’ question, realizing that there’s some leasing upside at Eastgate, can you characterize the pricing maybe in terms of the spread that you anticipate achieving vis-à-vis the capital recycling, John? I think you characterized it as being accretive. Is that in 2021 or longer term?
John Kite: Well, I wasn’t specific on timing for a reason. But I think, Todd, what we’re trying to say is that, I mean, in the two-part question, I guess, number one I said stay tuned earlier. And I think that’s the right thing because we’re actively working on a couple opportunities to match fund. So we’re confident it will happen, I’m just not ready to say exactly the date or anything like that. And the great thing as Heath kind of ended in his prepared remarks, our balance sheet was strong enough that we could do this and it really did not impact us – it did not impact our balance sheet as we can see. So that’s a real positive. The match funding is just something that we think is smart in this particular transaction, particularly because it is 73% leased and it creates this upside potential. That’s what I mean by it being accretive transaction because obviously we don’t think it’s going to stay 70% leased and we are actively engaged in opportunities right now that would significantly increase the occupancy. So long story short, I can’t give the exact details of that, Todd, but suffice to say it was a great, great transaction for us. And it’s just what we love to do. We love to find these opportunities where there’s embedded value that we can go out and just fight to get. And that really motivates us, frankly.
Todd Thomas: Okay. And then, Heath, on the guidance, so the bad debt assumption of $8.2 million for the year, which you talked about being roughly the 4Q 2020 run rate. Is that a conservative assumption? Or do you not see that improving as we move throughout the year as conditions continue improving and normalizing?
Heath Fear: I think it’s an appropriate assumption at the midpoint of our range. So, listen, obviously, still a lot of variables out there and we hope that we can outperform it. But at this point in time, where we’re sitting, that was the number we felt comfortable with.
Todd Thomas: All right. And just lastly then also on the guidance. So I understand the assumption around not including any contribution either positive or negative to the guidance range from the 2020 reserves, but this quarter included a net $700,000 negative impact. Do you anticipate that the net impact from prior period adjustments could be negative for a period of time? Or would that potentially – should we expect that to inflect to the extent that we continue moving toward a more favorable reopening environment?
Heath Fear: Yes. I think, Todd, the reason we actually are excluding them for our FFO adjusted for that very reason because I don’t know. So in the third quarter it was $1 million on each side, so basically canceled each other out. In this quarter, it was $700,000 more of deemed uncollectable AR. What’s happened this quarter? Honestly, I don’t know. And really the reason we’re doing this is because, listen, there’s so much volatility in a lot of things we’re doing. So to remove one more piece of volatility, we thought was the best way of showing you a 2021 run rate. Just by way of an example, yes, we have $13 million of bad debt. We are chasing that bad debt. We have got collection teams, we have collection attorneys. We’re going to do all we can to make sure we get that money. If I collect half of that bad, that’s $0.07 to the upside. And I’ll tell you what, if I’m beating FFO estimates with that $0.07, that’s not a quality beat, right. Just in the reverse, if all of a sudden during the quarter we deemed some tenant to have their AR be uncollectable and it’s an expense and I missed guidance or I missed earnings because of that expense, that’s a non-quality miss, right. So for us, it’s really just about giving you a very pure, smooth number. And if I were you, if I was one of the analysts, I would think to the extent that people aren’t breaking out that 2020 number in their guidance, I would ask them what are is your assumption around, what’s happening? Is it a positive or negative swing? So for us, it’s like, you know what, we’re going to let it be what it is. We’re going to remove one more variable, and we’re going to give you the cleanest 2021 number possible.
Todd Thomas: All right. Great. Thank you.
John Kite: Thank you.
Operator: Our next question comes from Alexander Goldfarb with Piper Sandler.
Alexander Goldfarb: Hey, good morning. Just echoing that the prior guidance comment, I mean, I appreciate what you guys are doing, but at the same time it is preferable when everyone’s sort of dines on the same NAREIT definition. I understand that you want to exclude things that either, throw the number one way or the other but still, just for comparison it is – I think it is good to adhere to the NAREIT definition even though it has its flaws, but I appreciate what you’re trying to do. Two questions and first, whoever came up with Slide 27 in the deck, it’s a bit of salt in our New York wounds, maybe you want to remove that slide going forward. A little painful to see how much we’re losing out by living up here. So on the remaining 5% of rent that you haven’t collected, I saw 4% with bad debt, but of those tenants should we think about that, there’s another 4% of vacancy that come or how should we think about that 4% number of bad debt as we think about you guys going forward.
Heath Fear: Yes, listen, it’s – I mean that 4% of it, we handicap that about 50% to 60% of it is still money good. So I wouldn’t take that 4% and just say, well, we’re going to throw that out the window or we’re going to give up on it. So, again, I think I’d hearken you back to that slide that showed you our annualized first quarter revenues to our guidance for 2021, which shows 3% of the decline. So again, it’s 4% but it’s, like I said, we’re not going to give up on it.
Alexander Goldfarb: Okay. But Heath, what you’re saying is, of that 4% a little bit more than half you think is money good?
Heath Fear: Put it this way. We have $4.4 million of uncollected rent and $2.6 million of that we wrote-off, right. So that $2.6 million, obviously we think that’s the 4%, right. We think that’s not money good.
Alexander Goldfarb: Okay. So that’s vacancy. So in other words, we’re going to see vacancy rise by that amount or I’m just trying to just understand, I understand that slide that shows the 3% down which is awesome, but I’m just trying to understand how that relates to this 4% and if we should expect the occupancy to go down by that amount?
Heath Fear: You know, Alex we don’t guide occupancy. What I will tell you is that you’ll continue to see the spread between lease and occupied-wide in the height of the big box surge, we have a spread I think was as high as 320 basis points. So as the year goes across, as we start signing up at leases you’re going to see that spread wide now tremendously. And, I could easily see it hitting 300 or beyond that based on the velocity of box deals that we get done over the next two years.
John Kite: Alex, I mean – yes, just take into account that we’re at, I mean that’s a point in time, right. You’re looking at a point in time and we’re actively leasing. And this is all in that guidance that we gave you. And the other thing I want to tell you is, we are guiding to the as adjusted number, but we will report the NAREIT number every quarter. So it’s out there, you’re going to see it. We’re not reporting it, we have to report it. And I got to lean into that a little bit, because the bottom line is when 2022 comes around and we’re comparing things to 2021, I think you’re going to say, hey, that was smart, you guys did that, because now we can’t figure out what the hell is going on with these other guys. So we’ll see, but it isn’t any – it is far from us trying to not be transparent. It is the opposite, right. We’re trying to clearly – yes, go ahead, bud.
Alexander Goldfarb: Yes. Look, I totally hear you and I totally understand what you guys are trying to do. And I appreciate it. That’s not right…
John Kite: I know, I guess I want everybody to understand that we’ll certainly be showing both numbers. And in terms of impact of the bad debt that Heath was talking about and how that relates to the leasing percentages. I think the point of the guidance was, we were being reasonable in all these assumptions and probably leaning towards conservative, but it is because we’re talking about being out of the pandemic, but we’re not. So we’re still utilizing that caution as it relates to really everything in terms of the projections.
Alexander Goldfarb: Okay. And then the second question is, you guys obviously are stand out for on your nonessentials for the number of tenants paying rent open and all that fun stuff. Would you say it’s just purely the difference in the COVID regulations in the municipalities whereby most of your properties are located in States that didn’t shut down and let their tenants open? Or are there other specifics, meaning maybe just the way the business models worked or the layout or something else that’s also driving it, that it’s not just purely, hey, the portfolio is weighted towards the Sunbelt, but there are other dynamics that are in there that allow these businesses to stay afloat and to reopen, because obviously early on a bunch of close, which is negative cash strain, but they’ve all – it seems like almost all of them have rebounded pretty healthy. So I don’t know if there’s something else specific that’s driving that.
John Kite: Sure. I mean, great question. Look, I think when we lay out that little acronym that we’ve talked about, the 3Ps. People, properties, processes, that’s real. And to the extent that yes, we are – as I said Florida, Texas, North Carolina is like 52% of our rent, but we obviously have lots of properties in other markets. And frankly we have peers that own similar exposures that we’ve significantly out collected. So in the end of the day, it’s never one thing, it’s just not. And I think it’s this combination of who we are as people, where these properties are located and what our relationships are with the retailers. And I said it a couple of quarters ago, sometimes you would say, well, why jeez, you collected more theater rent than almost anybody, or it seems like your fitness guys are paying a little more, the restaurants look pretty good. We have only three, what you would call white-tablecloth restaurants. So that’s a factor there. But in the end, it’s all those things. And these tenants ultimately decide, I want to work with Kite and they’re a good landlord and they’ve been supportive of us in the past and we need to support them. And, damn, I need this location. I don’t want to lose this location. And I always say to everybody underestimates how little supply there is in Class A open air real estate. And just, you got to think about that. So it’s all those things combined Alex, but as you know, we are the kind of people that we just never stopped going. And we’re always, always on this. So ultimately it’s going to be a great thing for both us and our customers.
Alexander Goldfarb: Alright, thanks John. Thanks.
John Kite: Thank you.
Operator: Our next question comes from Chris Lucas with Capital One Securities.
Chris Lucas: Hi, good morning guys. Just a couple of quick ones for me, I guess just on the transaction that you guys completed. Sort of I guess thinking about it sort of in reverse, so you bought it and now you’re going to go look to finance it or essentially fund the acquisitions with the dispositions. Is that really a function of how you want to do things or is that a function of the market for finding things is just too difficult and so trying to preload the disposal is just not warranted?
John Kite: Well, Chris, I think it’s probably everything right now. But the reality is we don’t have to do anything. We will feel very good if this was a great transaction. And when it gets to stabilization, it will be from an EBITDA standpoint, significantly higher than where it is right now. So we could just literally be, say hey this is a great deal. We don’t need to do anything. And our balance sheet will remain intact. I think what we’re saying is, we’re looking at options within the portfolio that don’t have growth profiles that this has or maybe a little more dispersed geographically that we take advantage of. And I think we can do that and that creates a lot of accretion when we do that. So I don’t want you to think that we have to do it Chris, we absolutely do not. It’s something that we want to do, and I think we’ll see what happens. And that’s why we said stay tuned and we are very confident in our ability to get things done. And when we do it, then we can talk about a little more in terms of the logic behind it, but that’s the big picture.
Chris Lucas: Okay. Thanks John for that. And then just on the dividend, you guys bumped it from the sort of, I guess, what was the established $0.15 run rate to now $0.17, just trying to understand sort of what is the sort of fundamental thought process behind your dividend distribution at this point?
John Kite: Sure. I think the dividend is in terms of the business practice behind it, it is kind of lock step to what we said earlier. We’re still subject to the pandemic and we’re still being conservative with where we think we are and the timing of full recovery. So I think that’s a big part of it. But essentially we look at the dividend less from these ratios that people throw out and more from cash flow. Where’s our cash flow today, how do we see it growing and where does this fit in, in light of the CapEx requirements that we also laid out that are more significant in the next couple of years, then they have been historically. So we’ve been to this movie before and we think it’s smart to put ourselves in a position to not have the dividend drag on the cash flow. And I think that’s not ubiquitous across our universe in terms of peers, but that’s our decision right now. And keep in mind, I think when the pandemic was in its throws the dividend $0.05, but we were paying it, right. So we’ve come a long way, Chris, but I think we have a long way to go. And I think as we evolve, we’re going to look at this every quarter. We’re going to look at our cash flow. We’re going to look at the leasing patterns and adjust accordingly. But let me just say that, obviously we feel much better today than we did when we were paying $0.05 dividend.
Chris Lucas: Okay. Thanks for that, John. That’s all I have.
John Kite: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from Craig Schmidt with Bank of America.
Craig Schmidt: Thank you. Given the increased leasing volume in fourth quarter and looking at your leasing pipeline, I’m wondering, do you think you can lease more square footage in 2021 than you did in 2019?
John Kite: Interesting question, I would think so just based on the fact that we have more available space to lease. But to be candid, Craig we don’t really set the goals by lease square footage. We’re really looking at so many other things. Merchandising is very important to us. So I think, look we’ll see it’s early, we’re just starting. But when you lease half a million in the previous quarter, you’ll look at the growth that we’ve had, I would hope so. But we’re not putting that out there, it’s just not something that we’re really focused on. We’re really more focused on what we said, which is we’re going to backfill the bankrupt tenants. We’re going to back fill the boxes. We’ve done it before, literally a couple of years ago. And we’re excited to do it again.
Craig Schmidt: Great. And then, given that back filling. Are you seeing a merchandise or tenant mix shift in your portfolio as you fill some of these previous vacancies, like the health club or Stein Mart and others?
John Kite: Yes. I mean, I’ll start and I’ll give Tom the floor. But I think we’re seeing a really interesting opportunity to improve the merchandising, improve the tenancy. Tom gave one example with Stein Mart, in terms of like Total Wine, for example. But there is a myriad of tenants out there. And I’ll give that to Tom.
Tom McGowan: Yes. I would say just general diversity seems to be improving. And you look at the grocery side and you have the Aldi’s being extremely active, Trader Joe’s is out there, Whole Foods, Amazon different names pop-up, you may see Sprouts re-fire soon, you could see Fresh Market. So you’re really putting up a position as landlord to have more and more options. Fitness may not seem like something that will come back, but we’re seeing activity on the Spirit side, the Specs and the Total Wine. And then the valued guys, we’ve met with a couple of them last week. We’re getting ready on a deal with Buy Buy Baby, Old Navy, Five Below, TJ, so we feel good about our inventory today as we did in 2019 that’s for sure in terms of our ability to find replacement tenants.
John Kite: I’ll say it another way, Craig, I think there’s more tenants doing deals right now than there was in 2019. That is unequivocable.
Tom McGowan: I believe so.
John Kite: And that shows the power that I mentioned earlier of well-located, open air real estate that hasn’t been built new since 2007. Like, I mean, I’m unfortunately I’m starting to feel like that was hell of a long time ago. I was pretty young in 2007. So I’ll tell you Craig, I mean, people are focusing on the negative of this. It is a positive and it is a positive for our industry and we’re going to be sector leading and how quickly we move on this.
Tom McGowan: And I think that also falls into our small shops that convenience play as people become busier and busier and want quick transactions and more shops. So we see that falling not only on the box side, but on the shop side as well.
Craig Schmidt: That’s encouraging and then just finally for me. The past year, Kite spent about $1.7 million on maintenance CapEx and in 2019 you spent $4.3 million, I mean I can see it being prudent that you might be pushing some of the CapEx down the road, but do you think there’ll be an increase in CapEx spending in 2021 versus 2020?
John Kite: Yes, I mean, I can tell you right now our budget in 2021 is higher than our budget in 2020 for CapEx spent. Obviously that was heavily impacted by the second and third quarter in the depths of the pandemic pulling back where we needed to. Some of it was a run – became a run-through in the sense that we were able to more efficiently manage these. But remember we’re heavily fixed cam. So there is obviously a benefit to that, but we’re never going to, what’s the word – we’re never going to put ourselves in a situation where we’re deferring maintenance. We’re not going to do that. We’ve never done that if you visit and I hope you do our shopping centers very quickly, I think you’ll see that these things are well taken care of. I did one of my surprise visits last week and I’ll call out the team down in Delray Beach and I pulled into the shopping center and they don’t know I’m coming of course. And it looked damn good. So look, I think we’re really good at that Craig. And we’re operator, I think Heath ended on that. We’ve always said, we’re operators, there’s a lot of guys out there who are financial guys and all those other stuff, but we pride ourselves on being really, really efficient, high quality operators. And that’s what you need when you’re in this kind of environment right now. You’ve got to have really good operators. And I think that’s why we’ve, as Heath said, I mean we’ve outperformed in the metrics during the pandemic, because when the tide goes out, you see who’s running it. So we’ve done well there.
Heath Fear: And Craig, I would add in addition to sort of belt tightening during COVID. Remember that the 2019 number included a bunch of assets that we sold. So that CapEx number had dollars associated with the 24 assets we sold. So our run rate on a go-forward basis is likely going to be less than what you’re seeing in the 2019 numbers.
Craig Schmidt: Great. Thanks for the thoughts.
John Kite: Thank you.
Operator: I’m showing no further questions in queue at this time. I’d like to turn the call back to John Kite for closing remarks.
John Kite: Well, just want to thank everyone for joining us onward and upward. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.